Operator: Good day, and thank you for standing by. Welcome to the BuzzFeed Incorporated Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Juliana Clifton, Vice President of Communications. Please go ahead.
Juliana Clifton: Hi, everyone. Welcome to BuzzFeed, Inc.'s Second Quarter 2025 Earnings Conference Call. I'm Juliana Clifton, VP of Communications for BuzzFeed. Joining me today are CEO, Jonah Peretti; and CFO, Matt Omer. Before we begin, please note that our remarks today will include forward-looking statements. Actual results may differ materially from those contemplated by these statements. Risks and factors that could cause actual results to differ materially are described in our Q2 2025 earnings release and in our filings with the SEC, including our most recent annual report on Form 10-K and our Q2 2025 quarterly report on Form 10-Q filed with the SEC. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. During this call, we present both GAAP and non-GAAP financial measures, including adjusted EBITDA and adjusted EBITDA margin. The use of non-GAAP financial measures allows us to measure the operational strength and performance of our business to establish budgets and to develop operational goals for managing our business. We believe adjusted EBITDA and adjusted EBITDA margin are relevant and useful information for investors because they allow investors to view performance in a manner similar to the method used by our management. A reconciliation of these GAAP to non- GAAP measures is included in today's earnings press release, which is available now on our Investor Relations website. Now I'll turn the call over to Jonah.
Jonah Peretti: Good afternoon, everyone, and thank you for joining us today. I'm proud of what our team was able to accomplish in Q2. We've been focused for the past 2 years on transforming our business, and these efforts are continuing to bear fruit. This transformation hasn't been easy given the dynamics in our industry. Over the past few years, it's become clear that it's impossible to build a strong digital media business on top of the platforms provided by Google and Meta. To respond to this shift, our team went to work prioritizing our direct audience and increasing engagement on our owned properties. We invested in our sites and apps, leveraged new AI technologies and diversified our distribution sources. This has enhanced our competitive position in digital media and set us up for the future. A few highlights. We've shifted to direct and diversified audience sources. Direct visits, internal referrals and app usage now make up 61% of BuzzFeed's O&O traffic, surpassing Facebook and reducing dependence on external algorithmic platforms. HuffPost's homepage referrals grew 12% year-over-year and now account for 3/4 of its total page views. Engagement and loyalty are rising. Nearly half of BuzzFeed and HuffPost daily users return more than once a week. Log-in users on buzzfeed.com have tripled over the past 2 years, building deeper relationships with our audience. These changes have helped BuzzFeed hold the top spot in digital media with 69.9 million hours of U.S. time spent in Q2, which is 3% growth quarter-over- quarter, making BuzzFeed the only company in our competitive set to grow in this period. Also in the second quarter, buzzfeed.com led all individual competitors with 36.4 million hours, ahead of People, Vox and more, and HuffPost recorded 20.7 million hours, beating major legacy news brands by a wide margin. Put simply, we have focused on the quality of our audience, not just the quantity. This has given us a base we need to build a strong business with defensible revenue. In particular, we focused on scalable tech-enabled business lines while reducing platform dependencies. When we have control over product and tech, our team is skilled at optimizing and growing revenue. Our scalable revenue lines are expanding. In Q2 2025, gross sales of non-Amazon merchants grew 38% year-over-year across all our brands with the BuzzFeed brand alone seeing a 55% increase. Programmatic advertising grew by 11% year-over-year, up $1.7 million, demonstrating continued improvements in yield and targeting across both owned properties and third-party platforms. Our studio business is also making progress, reducing its platform dependence on Meta and Google, diversifying into additional platforms and focusing on IP development and long form. Owning IP and making longer-form content provides protection from algorithmic shifts that impact distribution and monetization. Long-form and IP are creating a foundation for future growth. BuzzFeed Studios' premium division has pioneered a model for producing and marketing full-length feature films. Our feature film with Lionsgate, F Marry Kill was the #1 movie on Hulu in June. We recently wrapped production on Girls Like Girls with focused features, and have three more film projects set to enter production in the second half of the year. In 2025, we produced nine vertical short drama series, boasting a massive viewership of over 400 million with short-form chapters combining into a long-form narrative to drive enhanced retention on new platforms. Even our mid-form video business is showing strong improvement, driven by an increased focus on IP and archive. In Q2 2025, passive revenue rose 40% year-over-year, animation was up 24%, celeb grew 47% and Cocoa Butter saw a standout 373% increase, all supported by significantly higher RPMs. Although lower margin than other revenue lines, we see strong potential for our studio business to drive both the top line and the bottom line growth now that our strategy has addressed the platform dynamics that previously limited performance. We make these -- as we make these changes, we continue to adjust the structure and size of our organization to reflect a more tech- powered and efficient business model. This includes some cost reductions to our business and studio as we completed -- that we completed today as well as some reallocation of team members to new initiatives such as BF Island, which brings me to my last point. The ultimate liberation from platform dependencies would be achieved by building our own platform. This is exactly what we're doing with BF Island. We are currently testing an early version of the BF Island app, and this early prototype has strengthened our confidence that there is a huge opportunity to build the first AI-native social media platform. We are expanding our beta testing group and we will open up to select BuzzFeed community members by the end of Q3. The app is loads of fun, and I can't wait to share it with more people as we expand our beta testing and build towards a public launch. It isn't just a business imperative for us to limit the control of big platforms. Consumers also want an escape and our society and culture needs a better Internet. Audiences want special places that serve as a refuge from the endless algorithmic feed. BuzzFeed, HuffPost and Tasty provide that oasis. And soon, BF Island will provide the ultimate vacation from the big platforms that have sucked the joy out of the Internet. With that, I'll hand it over to Matt to walk you through our Q2 financial performance.
Matthew Omer: Thank you, Jonah. As Jonah just touched on, our Q2 '25 results reflect the strength and the resilience of our diversified business model as well as the benefits of the transformation work we've done over the past 2 years. We've built a leaner, more efficient organization and prioritize high-margin revenue streams, positioning BuzzFeed for long-term value creation in a changing digital landscape. With that, I'll share more on our second quarter financial results. As a reminder, all financial results are reported on a continuing operations basis. Total revenue for the quarter was $46.4 million compared to $41.1 million in Q2 '24, an increase of 13% year-over- year. Growth was driven by a fourfold increase in studio revenue, a 23% increase in organic affiliate commerce and an 11% increase in programmatic advertising. These gains offset softer results in direct sold advertising and direct sold content. Advertising revenue totaled $22.6 million compared to $23.2 million in Q2 '24, down just 3% despite direct sold headwinds. Within this category, programmatic advertising grew by 11% year-over-year to $17.4 million, demonstrating continued improvements in yield and targeting across both owned and operated properties and third-party platforms. This is offset by a 31% decline in direct sold advertising, which continues to reflect both market softness in this category and our deliberate effort to focus on more programmatic advertising. Content revenue increased 53% to $10.7 million compared to $7 million in Q2 '24. This strong growth was primarily driven by a nearly fourfold increase in studio revenue of $4.7 million year-over-year, primarily related to the delivery of a feature film in the quarter. This was partially offset by a 17% decline in direct sold content, reflecting muted demand in this category and our deliberate move towards higher-value partnerships. Commerce and other revenues rose to $13.1 million compared to $10.9 million in Q2 '24, an increase of 20%. Organic affiliate grew 23% year-over-year to $12.8 million, supported by strong audience demand and an expanding partner base. Other revenue categories such as product licensing saw a minor decline of $200,000. From a profitability perspective, net loss from continuing operations worsened to a loss of $10.6 million compared to a loss of $5.4 million in Q2 '24, which is primarily driven by a $5.5 million nonrecurring charge related to the extinguishment of our convertible notes. Adjusted EBITDA came in at $2 million relative to $800,000 in Q2 2024, which includes a onetime $2.4 million reversal that positively impact our quarter results and will not recur in future periods. On the audience engagement side, total U.S. time spent across our properties was 69.9 million hours compared to 71 million hours in Q2 '24. We delivered a 3% increase relative to Q1 '25, marking and making BuzzFeed Inc. the only company in our competitive set to grow time spent this period. This reflects deeper loyalty and the higher share of traffic coming directly to our owned and operated properties, sites and apps, which now accounts for 61% of BuzzFeed's O&O traffic. So for the first half of 2025, total revenue reached $82.4 million compared to $78.1 million in the first half of 2024, an increase of 5%. Net loss from continuing operations was $23.1 million compared to losses of $32.3 million in the first half of '24, an improvement of 28%. And adjusted EBITDA losses improved significantly to $3.9 million compared to $13.5 million in the first half of 2024, a 71% improvement year-over-year. This demonstrates the impact of our streamlined cost structure and focus on high-margin scalable revenue streams across multiple quarters. Looking ahead, we expect continued growth in programmatic advertising and affiliate commerce to lead our revenue mix, while content will vary based on the timing of studio projects and the stabilization of our direct sold business. Our leaner structure, resilient audience relationships and investment in new innovative projects like BF Island give us confidence in our ability to drive long-term value for shareholders. We are reaffirming our full year 2025 guidance as follows: revenue in the range of $195 million to $210 million and adjusted EBITDA between $10 million and $20 million, in line with the outlook we provided in March. As a reminder, we are a seasonal business, and historically, a significant portion of our revenue comes in Q4. The first half of the year have been very encouraging with meaningful progress across our core KPIs. And our outlook for the full year reflects confidence in our programmatic and commerce business lines and expected seasonal lift in the back half of the year while acknowledging that we remain dependent on the strength of Q4 performance as is typical for our industry. Thank you for joining us today. I'll hand the call back to Juliana so we can take any questions we may have.
Juliana Clifton: Thanks, Matt. We received a few questions in advance I'll go through now. The first one we received. How are you thinking about diversifying away from traditional referral sources like Facebook and Google? Jonah, do you want to take this one?
Jonah Peretti: Sure. So today, over 60% of our traffic is -- to our owned and operated properties comes from direct sources, so internal referrals and app usage. So we have really worked our way through this transformation where several years ago, we were a business that really focused on getting traffic from these distributed platforms, and that was really the sort of earlier BuzzFeed model. We've really transformed the company over the past few years to be much more about things like homepage traffic, HuffPost's homepage is thriving and up 12% year-over-year, accounting for the majority of HuffPost's page views. We've seen a similar thing with BuzzFeed, really driving a lot of the traffic is being driven by people spending more time on our site, engaging more on the site, recirculating traffic, people coming direct, people using our apps. And I think having a stronger, more direct audience relationship is really the key to building a strong digital media business. The platforms are -- have not as of late been reliable partners for publishers and publishers have to find their own audience and build really close connections with audiences, and that's what we've done.
Juliana Clifton: All right. The next question we received. What's your view on the future of platforms? And how do you think about platform dependency now?
Jonah Peretti: I mean, at one level, it's very impressive what TikTok and Instagram and other algorithmic feeds have done. They've made very compelling products that people spend a lot of time with. I think that it's become clear recently that, if anything, these kinds of products are overoptimized and to the point where they've become addictive and the people using these products often regret the time they've spent on them. And that's in part because powerful machine learning and AI is recommending lots of content and there's infinite amounts of content in these feeds and people are scrolling and scrolling and scrolling, and it's filling every sort of spot in their day. It's been a very powerful business for those companies. But we're seeing that increasingly, there's a demand for people who want to get off their phones, whether that's to do things with friends in the real world or whether that's to find media that is more fulfilling to consume and doesn't have as much as that kind of addictive properties. And so BuzzFeed, HuffPost and Tasty are really benefiting from being trusted destinations with real brands that -- where consumers can go and consume content that's made for them in a way that isn't designed to try to get them to scroll endlessly, but is designed to really give them a lot of value. And I think BF Island is really reimagining the social media space from the perspective of what would make people feel really happy about their time spent on these kinds of apps. And we're building something great that's using new AI technologies that we think will be a tremendous escape and oasis from some of the parts of the Internet that people are looking to escape from. So I think creating little pockets of joy and truth on the Internet is actually a strong business strategy.
Juliana Clifton: And since you brought that up, is there anything else you can share about BuzzFeed Island?
Jonah Peretti: I mean it's incredibly fun and can't wait to share with more people.
Juliana Clifton: Thanks. And the last question we received. As platforms have become less publisher-friendly, which do you feel show the most promise?
Jonah Peretti: I think there's some new entrants that are pretty interesting. Apple News continues to be an important source of high-quality traffic, particularly for HuffPost. I think, as I mentioned earlier, direct and homepage traffic are really key. If you have consumers coming directly to your product, that's a really strong signal. And I think IP that is differentiated allows you to go cross-platform. And so we're seeing that with our studio where we've been able to distribute content across multiple platforms with IP that we own that consumers seek out. So I would say that's the key. And when you have a strong audience connection, you also can monetize more effectively. So the quick little referral where someone is only spending a short amount of time on your site is a lot less valuable from a monetization standpoint than people who are spending a lot of time and really trust your brand. Affiliate and programmatic revenue have grown for us, and they've grown in part because we have quality traffic, not just quantity of traffic, but a large number of really dedicated consumers who come seek us out and spend time with us, and that's a much more valuable form of audience.
Juliana Clifton: Now I'll hand the call back over to our operator, James.
Operator: Thank you for participating in today's conference. This does conclude the program. You may now disconnect.